Operator: Good day, and welcome to the Crown Castle Quarter III 2025 Earnings Conference Call. All participants will be in listen-only mode. To withdraw your question, please press star then 2. Please note this event is being recorded. I would now like to turn the conference over to Kris Hinson, Vice President of Corporate Finance and Treasurer. Please go ahead.
Kris Hinson: Thank you, Chloe, and good afternoon, everyone. Thank you for joining us today as we discuss our third quarter 2025 results. With me on the call this afternoon are Chris Hillebrandt, Crown Castle's President and Chief Executive Officer, and Sunit Patel, Crown Castle's Chief Financial Officer. To aid the discussion, we have posted supplemental materials in the section of our website at crowncastle.com that will be referenced throughout the call. This conference call will contain forward-looking statements, which are subject to certain risks, uncertainties, and assumptions, and actual results may vary materially from those expected. Information about potential factors which could affect our results is available in the press release and the Risk Factors sections of the company's SEC filings. Our statements are made as of today, 10/22/2025, and we assume no obligation to update any forward-looking statements. In addition, today's call includes discussions of certain non-GAAP financial measures. Tables reconciling these non-GAAP financial measures are available in the supplemental information in the Investors section of the company's website at crowncastle.com. I would like to remind everyone that having an agreement to sell our fiber segment means that the fiber segment results are required to be reported within Crown Castle's financial statements as discontinued operations. Consistent with last quarter, the company's full-year 2025 outlook and third-quarter results do not include contributions from what we previously reported under the Fiber segment, except as otherwise noted. To aid in the review of our third-quarter results, our earnings materials include year 2024 results on a comparable basis. As we indicated last quarter, within the 2025 outlook, and in our quarterly results, all financing expenses are included in continuing operations and do not reflect the impact of any expected use of proceeds from the sale of our fiber business. Additionally, SG&A has been allocated between continuing and discontinued operations to develop our outlook. However, these allocations may not represent the run rate SG&A for Crown Castle as a standalone tower company. As a result, adjusted EBITDA, AFFO, and AFFO per share in our 2025 outlook and quarterly results may not be representative of the company's anticipated performance following the close of the sale. With that, let me turn the call over to Chris.
Chris Hillebrandt: Thank you, Kris, and good afternoon, everyone. It's an honor to address you for the first time as CEO of Crown Castle. As you've seen from my background, I've been in the telecommunications industry for many years, and I have long admired Crown Castle and its high-quality portfolio of approximately 40,000 towers, both as a customer and as a previous competitor. In my first forty days, I've traveled across the country to host town halls and hear from many of Crown Castle's employees and customers, and I've gained several key insights. First, I am really pleased by the high level of engagement of our employees and their excitement about our goal to become a best-in-class US tower company. We believe that the fiber-owned small cell transaction remains on track to close in 2026. Second, I believe that the US wireless communications infrastructure industry is entering a period of significant opportunity, supported by solid fundamentals, continued growth, and customer demand. Third, Crown Castle is uniquely positioned to drive attractive risk-adjusted returns during this period, as the only large publicly traded tower operator with an exclusive focus on the US. In September, CTIA, a leading wireless industry association, reported that mobile data demand in 2024 had increased by more than 30% for the third consecutive year. We believe mobile data demand is the best indicator of long-term demand for our assets, as incremental network investment by our customers is required to enable higher levels of mobile data traffic. As data demand continues to grow, it will require operators to expand network capacity by both deploying new sites and adding new spectrum bands to existing sites. We're seeing this dynamic unfold in real-time. Over the past year, each major mobile network operator has acquired additional spectrum despite having collectively secured approximately 700 megahertz of spectrum less than five years ago, the same amount of spectrum acquired in the prior forty years combined. Looking ahead, the FCC has said it plans to auction at least 800 megahertz of additional spectrum beginning in 2027. As we saw during the early stages of the 5G deployment cycle, spectrum acquisitions by well-capitalized carriers tend to create significant opportunities for tower operators. With this in mind, I am excited by Crown Castle's long-term value creation opportunity. As the only large publicly traded tower operator with an exclusive focus on the US market, I believe we have an opportunity to generate attractive long-term risk-adjusted shareholder returns by focusing on becoming the best operator of US towers with the following strategic priorities: First, to empower the Crown Castle team to make the best and timely business decisions by investing in our systems to improve the quality and accessibility of asset information. Second, strengthen our ability to meet the business' needs by streamlining and automating processes to enhance operational flexibility. And third, as the team has already started doing, drive efficiencies across the business. We will advance our data management and process engineering capabilities to deliver on these strategic priorities, and over the long term, we expect to maximize cash flow by unlocking additional organic growth while driving continuous improvement in profitability. This strategy is supported by our previously announced standalone tower capital allocation framework, which balances the predictable return of capital to shareholders with the financial flexibility to invest in our core business. Following the close of our sale transaction, we intend to grow our dividend in line with AFFO, excluding amortization of prepaid rent, by maintaining a payout ratio of 75% to 80%. Additionally, we continue to expect to spend between $150 million to $250 million of annual net capital expenditures to add and modify our towers, purchase land under our towers, and invest in technology to enhance and automate our systems and processes. We believe these enhancements, which are already underway, are fundamental to our strategic priorities to improve the quality and accessibility of asset information, enhance operational flexibility, and drive further efficiencies. Lastly, after paying our quarterly dividend and pursuing organic investment opportunities, we intend to utilize the cash flow we generate to repurchase shares while maintaining our investment-grade credit rating. So in conclusion, I am excited by the opportunity ahead for both the US wireless infrastructure industry and Crown Castle specifically. As the only large publicly traded tower operator with an exclusive focus on the US, we are well-positioned to deliver attractive risk-adjusted returns over the long term, with our strategy designed to maximize organic growth while enhancing profitability and our capital allocation framework which balances the predictable return of capital to shareholders with financial flexibility. With that, I'll turn it over to Sunit to walk us through the details of the quarter.
Sunit Patel: Thanks, Chris, and good afternoon, everyone. We delivered solid third-quarter results and are increasing our full-year 2025 outlook as demand for our assets remains strong, and we continue to identify opportunities to operate more efficiently. Starting on page four, the tower business performed well in the third quarter, highlighted by 5.2% organic growth or $52 million, which excludes the impact of Sprint cancellations, and benefits from a $5 million timing-related uplift to core leasing activity in the quarter. However, this was more than offset at the site rental revenues, adjusted EBITDA, and AFFO lines largely due to an unfavorable $51 million impact from Sprint cancellations, a $39 million reduction in non-cash straight-line revenues, and a $17 million decrease in non-cash amortization of prepaid rent. Moving to page five, our updated full-year 2025 outlook includes increases at the midpoint of $10 million to site rental revenues, $30 million to adjusted EBITDA, and $40 million to AFFO. The higher site rental revenues are driven by continued strong demand for our assets, which we expect will result in a $10 million increase to full-year straight-line revenues and fourth-quarter leasing activity and non-renewals in line with the first half of 2025 results. We also expect a $40 million increase at AFFO consisting of a $5 million increase in services gross margin, driven by higher services activity, a $15 million decrease in expenses, and a $5 million decrease in sustaining capital expenditures as we continue to identify opportunities for greater operational efficiency in the tower business. And finally, a $15 million decrease in interest expense largely due to lower than expected floating rates and a push out in the assumed term out of our floating debt. Included in our updated full-year 2025 outlook is a $30 million reduction in discretionary capital expenditures from spend that has been pushed into next year. The updated outlook for 2025 discretionary CapEx is $155 million or $115 million net of $40 million of prepaid rent received. In conclusion, we are pleased with our third-quarter results and believe we are well-positioned to meet our increased outlook for full-year 2025, and our range for estimated annual AFFO following the fiber business sale closing that we reiterated last quarter of $2.265 to $2.415 billion. Longer term, we're excited by the opportunity for Crown Castle as the only large publicly traded tower operator with an exclusive focus on the US to deliver attractive risk-adjusted returns with our balanced capital allocation framework, investment-grade balance sheet, and focus on operational execution. With that, operator, I'd like to open the line for questions.
Operator: We will now begin the question and answer session. If you're using a speakerphone, please pick up your handset before pressing the keys. If at any time your question has been addressed and you would like to withdraw your question, please press star then 2. At this time, we will pause momentarily to assemble our roster. The first question comes from Michael Rollins with Citi. Please go ahead.
Michael Rollins: Chris, congratulations on becoming CEO of Crown Castle.
Chris Hillebrandt: Thank you.
Michael Rollins: So a couple of questions. First, Chris, it'd be great to get your perspective. You shared some of the course already in terms of some of your priorities and your initial takes. But as you look at the growth opportunities for Crown, can you frame maybe in more detail what are the opportunities to grow further with your existing customers and how that opportunity rates relative to the efficiency gains by divesting the fiber operations and just looking for more opportunities to be more efficient and effective? And then just a second topic, if I could. Just curious for an update on the relationship with EchoStar. Have you received any feedback in terms of what their approach to the network may be and how you look at collecting the rest of the contractual commitments that you have with that customer?
Chris Hillebrandt: Yeah, great. Thanks, Michael. So I think four questions in one, if I counted them up correctly. Let's start with the growth one that you mentioned. I think, look, one of the reasons why we're so excited about becoming a large public US tower operator is that we believe that we can really unlock the value on both revenue and the profitability side. Fundamentally, we will be focusing in on almost the back to basics to just maximize the revenue opportunities that we have with the existing portfolio overall. And I think we feel good, as recognized by the results that you just heard today. In terms of efficiency, look, this is one of the things that we have a huge focus on. Not only in terms of what we promised to deliver as part of this, and so we need to get through first the actual fiber sale itself. This is our number one priority as a management team to get this over the finish line here by the end of the first half of next year. But then we're already starting to focus on those efficiency areas. And again, you saw that in the results that we're reporting this quarter. We started to accelerate those activities where we can. And we as a company will spend a great deal of focus on looking for the opportunities to drive efficiency across our platforms, both through process changes and new tools, but also just execution and delivering against customer expectations in what will be a best-in-class tower co. And then finally, the EchoStar question that you asked, look, we have a good agreement in place. It runs through 02/1936. And the bottom line is we expect to be paid for the terms of the agreement.
Operator: Thanks very much. Thank you. The next question comes from Benjamin Swinburne with Morgan Stanley. Please go ahead.
Benjamin Swinburne: And welcome to the earnings calls, Chris. Nice to hear your voice. Wanted to ask you guys a couple of questions. AT&T this morning talked about deploying 3.45 from EchoStar kind of prior to close. In fact, we talked about getting that to two-thirds of their pops by mid-November. I'm curious. I know you can't talk about specific carriers, but as we see the EchoStar spectrum get deployed, particularly where it's simply a software upgrade, is there any opportunity for Crown Castle from a revenue point of view? How do you think about this migration of spectrum from Boost to the majors? I was just wondering if Sunit could talk a little bit about the one-timer in the quarter. I think you said it was $5 million. Any color on sort of what drove that would be interesting. Thank you.
Sunit Patel: Yeah, I'll take both. Yeah, I saw those remarks. Look, I think in general, what I would say, because it's tough for us to comment on AT&T's specific plans over the next years. But in general, I would say, the massive investment in Spectrum, which is usually followed by depends generally. And, you know, it depends on whether they would do a software upgrade to existing coverage areas or they want to go into more coverage areas, again, I wouldn't know. But what I would say over the long term is most spectrum bands get occupied and as mobile data demand continues to grow, in general, that's favorable for the tower sector, and we hope we'll do a good job of serving AT&T for whatever its plans are. So I think that's the main point there. On the one-time benefits, yeah, it's a combination of different things happening in the third quarter with several of our carrier customers. So we had a one-time benefit. As we said, we expect to revert back to the sort of activity levels we saw in the first half of the year in the fourth quarter. So these things are never linear. Sometimes, you can have lumpiness, and that's what you saw in the third quarter.
Benjamin Swinburne: Got it. Great.
Chris Hillebrandt: Well, thank you very much.
Operator: The next question comes from Michael Funk with Bank of America. Please go ahead.
Michael Funk: Yeah. Hi. Good evening. Thank you again for the question. And Chris, congratulations on your new role.
Chris Hillebrandt: Thank you, Mike. Appreciate it.
Michael Funk: Yeah. So a couple if I could. Sort of, you know, following on the last one, you know, we've heard carriers talk about less densification due to spectrum that they're acquiring. And just wondering if that's filtered through to your conversations with them, either maybe pulling back on plans that they had or discussions that they were having, or if it's too early and you wouldn't necessarily already have those, the conversations around densification.
Chris Hillebrandt: I don't think we've seen anything. As you can see, leasing is continued strong for us. We're seeing solid demand for our assets and no material changes at this time.
Michael Funk: Great. And then, Sunit, a lot of discussion about efficiency efforts. Where would you say we are in that process today? If you had to put it in innings?
Sunit Patel: Yeah. I mean, I think we are you can see with our progress every quarter, we are basically taking down the execution risk on the guidance that we've provided for next year's AFFO for the period, July 1, next year to June 30 of the following year. So think where we are is we keep looking for opportunities to drive efficiencies, various automation systems implementations in a phased approach. But clearly, big benefit comes as we simplify from, you know, running three businesses to one business. So I think that you'll start seeing benefiting us as we get to the close of the transaction and beyond that. But meanwhile, there's plenty to do within our entire business, our corporate segments, and that's where we are focused on.
Michael Funk: Great. Thank you, Chris and Sunit.
Operator: The next question comes from Ric Prentiss with Raymond James. Please go ahead.
Ric Prentiss: Thanks. Good afternoon, everyone. And, Chris, yeah, always nice to start on a beat and raise quarter, so good talking to you again.
Chris Hillebrandt: Timing is everything. It is.
Ric Prentiss: Wanna follow Mike's question earlier. On the DISH MLA, clearly, you've got a contract. It's written well. You expect to get paid.
Sunit Patel: Putting the spectrum on the towers was really critical to make sure they kept the spectrum rights and be able to sell it. My question was to go at it we look at your 24 actuals and your 25 guidance, I know you've said in the past, your boost this boost contract had some step-ups in it. How should we think about how much was in the 24 actual and the 25 guidance that was kinda related to DISH activity that we should be thinking about that's continuing to grow while the contract's in place in 2627? Any kind framework can give us even rough basis points what it might have been.
Sunit Patel: Yeah, Ric. So mean, as we as we've said before, you know, DISH represents about 5% of our revenues on the tower side. And so I think as we look forward, you know, we'll see what happens with DISH EchoStar. We feel really good about our contract. And beyond that, it's tough to get into too many specifics given the confidentiality with our clients.
Ric Prentiss: Sure. Okay. So I'd try. When you think about dealing with Charlie Ergen and Hamid and the EchoStar Boost folks, are you willing and open to saying, well, let's look at maybe an NPV basis Let's look at what you owe me. Can we have some kind of discussion? And I guess the extra piece of the question would be help us understand what decommissioning cost ballpark might be because I think the contract also includes that they're supposed to return the towers remove the equipment.
Sunit Patel: Yeah. So what I would say, you know, tough to tell what direction when, what discussion would go, and tough for me to comment on any discussions with them generally and then, you know, and similarly to comment on specific contract provisions on some of the things you're talking about just, you know, all of these things are confidential, but we are we feel very good about the contract we have with DISH.
Chris Hillebrandt: Rick, maybe the other way to put it is, you know, look, our goal here as management is to maximize shareholder value and we're always open to working with our customers to accomplish that. Right? So right. Yeah. Maybe leave it open-ended like that.
Ric Prentiss: Okay. Last one for me. Touched on it briefly to Feng's question. That famous slide seven from the fourth quarter deck, where you laid out kind of that pro forma second half twenty-six, first half twenty-seven. There's that one stack bar in there that talks about SG&A stand-alone. You'd mentioned, I think, previously that you'll update that slide. Are we still waiting for the deal to close, or how should we think about when do we get more granularity on that I'll call it, my famous slide seven from your four q deck?
Sunit Patel: Good question. I think that when we report next quarter, obviously, we'll provide guidance for 2026, and I think you can expect a little more detail then.
Ric Prentiss: That'd be great. Okay. Thanks, guys. And, again, welcome, Chris.
Sunit Patel: Thanks, Rick.
Operator: The next question comes from Jim Schneider with Goldman Sachs. Please go ahead.
Jim Schneider: Chris, I was just wondering if you could maybe give us a sense of given your prior experiences, how would do those inform your role at Crown Castle And you've been very clear about the strategic goals of the company, but on the margin, are there any areas where you might look to sort of slightly shift those goals, whether they be at the operational level, at the capital allocation level or otherwise relative to what's already been laid out there?
Chris Hillebrandt: The short answer is no. We are focused on becoming the best-in-class US tower operator, you know, full stop. You know, I think once we close the transaction, we achieve all our operational objectives, even then the bar for say, like, and a will remain high. And really limited to The US for the foreseeable future. Right? So the fact that I have that experience is great, but, you know, the clear strategy that we've embarked on is clearly the right strategy and the winning strategy for Crown.
Jim Schneider: Great. And then just a quick follow-up. Can you maybe just comment on the impact of the T-Mobile's acquisition of U.S. Cellular on the business over the next several quarters and years? Thank you.
Chris Hillebrandt: Yes. I'll just start, maybe Sunit can bring it home. But, you know, this is fairly de minimis for us from our perspective. It should be very little impact from what we see, at this time.
Sunit Patel: Yep. That's correct.
Chris Hillebrandt: Thank you.
Operator: The next question comes from Nicholas Del Deo with MoffettNathanson. Please go ahead.
Nicholas Del Deo: Hi, thanks for taking my questions and I wanna echo others and congratulate Chris, on your appointment. I guess, Chris, you know, you described improving Crown Castle's and information availability as your number one priority, in your prepared remarks. I guess how would you describe the state of the company's systems today relative to those of some of the other firms that you've led what you think best-in-class systems can offer?
Chris Hillebrandt: Yeah. It's a great question because having just literally gone through a multiyear journey at Vantage Towers where we were focused on the exact same types of issues. The good news is that many of the same platforms that we're in the process of utilizing over there Crown has already started in that journey to deploy those systems here. So overall and I feel like we're on the right track. This will take some period of time. There's a lot of work to be done. Defining what best-in-class looks like in terms of the cycle times on how we deliver to our customers and the efficiency in how we spend our capital and OpEx dollars, so that they're the most efficient use of that money. This is really our challenge over the next year. Us really to lay out, what great looks like. And then bringing the team along on that transformation. The good news is I've just seen how this works because I just lived through it the last few years. And hope to be able to bring that same level of discipline and leadership to the team here. In executing those plans.
Nicholas Del Deo: Okay. That's very, very encouraging. Can I ask one more kinda high-level philosophical question maybe? You know, most of your business today is contracted under holistic master lease agreements. Some of those may roll off over the coming years. Just wondering how you think about MLAs and the puts and takes or what you find important Just so we understand how you might think through that as deals potentially roll off over time.
Chris Hillebrandt: I think in the end, we will always look to do good business for Crown. And so for any future MLA renegotiations or extensions, we're always gonna look for win-win with our customers on finding both long-term value creation. What we won't do is just go run after an MLA for the sake of an MLA. We'll only do it where we see value creation for the company. And ultimately, driving that customer experience, the winning combination is ultimately to have a strategic partnership with your customers. And, again, maybe something I have some fairly unique viewpoints on having been both in the operator space in the OEM space, and now here in the tower space. But in the conversations I've had with customers so far, it's been very warm and welcoming and looking for ways to partner into the future in ways that both companies can profit. So I'm encouraged by the direction we're headed in. I mean, you know, stay tuned to the space.
Nicholas Del Deo: Okay. Great. Thank you, Chris.
Operator: Thank you. The next question comes from Richard Choe with JPMorgan. Please go ahead.
Richard Choe: Hi. I wanted to see if we can get a little more color on application volumes, kind of what are you seeing. And then also just wanted to clarify, do you expect ex the $5 million that the second half of the year is gonna be the same as the first half of year in new core leasing, or what should it be higher?
Sunit Patel: Yeah. So the answer to the second question is, as I said, we expect the fourth quarter to be consistent with what we saw in the first half. If you look at the first two quarters of the first half, they were about the same. So I think that's what we meant that the third quarter was lumpy or higher, but that the fourth quarter will be consistent with what you saw in the first two quarters. And then on the application levels, I think you've heard us say previously, application levels do not necessarily correlate to our leasing activity per se. But, yeah, we've seen healthy levels of activity as we pointed out in the last couple of quarters. You can see the benefit of that in our service business. So and, you know, it was a good quarter also. In the third quarter.
Richard Choe: Got it. Thank you.
Operator: The next question comes from Batya Levi with UBS. Please go ahead.
Batya Levi: Great. Thank you. Can you provide a little bit more color on how should think about the 5% organic growth ex Sprint churn tracking into next year, maybe kind of the pieces in terms of the amendments and leasing mix? And then how do you think about your scale in the Tier two, three markets where incremental activity seems to be going right now? Like how would you approach maybe adding to your footprints either organically or through M&A? And finally, one clarification question. The new leasing activity of about $115 million this year does that include any take or pay contribution from EchoStar?
Sunit Patel: Yeah. I'll let me take through that. So, you know, as far as organic growth in the next year, we'll come back to that when we report fourth quarter and provide guidance for 2026. So not much to comment there, but we'll have more to talk about that then. On the scale, tier two, tier three, you know, all of us have different footprints, but our general goal is to make sure that we can support our customers where we do have coverage or towers in tier two, tier three markets and we suddenly have very active conversations with our clients of that. And two, we are open to, as Chris mentioned, his comments, to add towers where it makes sense. So we continue to engage with clients to look at that. And then I think your third question was on sorry. Oh, the leasing activity. Yeah. I mean, I think, as we said, we didn't change guidance for that. So I think we will continue to see good leasing activity line with the guidance and the expectations we've laid out. Hence, the guidance that we provided for the year.
Batya Levi: Yeah. Just to follow-up on that, I think there is a bit of a good confusion if EchoStar's contribution is in the base, or is it also in the growth? In the core leasing piece, 115? Is there some part of the contract that's embedded in there from EchoStar?
Sunit Patel: Yeah. So, I mean, generally, we don't comment on specific client contracts, but all our leasing activity includes activity from all our clients. So I'm sorry. That's tough to get into detail on specific. Right? Each of our clients and the contracts.
Batya Levi: Thank you.
Operator: The next question comes from Brendan Lynch with Barclays. Please go ahead.
Brendan Lynch: Great. Thank you for taking my question and congrats Chris. I look forward to working with you. In terms of laid out kind of the bull scenario where, CPI data is supportive of growth, spectrum auctions are in acquisitions of spectrum. Continue to be supportive. Maybe you could just help us frame some of the risks that exist in the industry related to additional spectrum swaps or efficiency gains via technology or spectral efficiency? It seems there's a lot of negative sentiment in the industry and maybe you can kind of tackle some of these risks head on in think and inform us how we should think about them?
Chris Hillebrandt: I mean, overall, the biggest risk is we don't have the detailed knowledge of what any of these new spectrum purchase owners are planning to do. And the correlation that we're drawing here is the fact that spectrum that wasn't being put into use is now being put into use. Something that will generate incremental leasing for infill sites or capacity growth and or lease up amendment revenue. Is something that is, again, based on what we've seen this year, seems to be in a very steady state. What could happen where the technology will go and allow for? Again, the customers have very defined space on the towers. And as they continue to deploy additional capacity, it represents a growth opportunity for us as a business.
Brendan Lynch: Great. Thanks. That's helpful. Maybe another question. You sound very committed to the pure play U.S. Tower business as being your core. Can you talk about any ancillary services that would fall within the realm of tower exposure that you would be willing to or interested in scaling more? Now that Crown Castle has scaled back on services, maybe there's an opportunity to expand that in the future or build to suits or anything that would kind of be within that realm.
Chris Hillebrandt: Yeah. Let's start with the fact of, like, we are our goal is to really maximize the revenue opportunity of our existing base of assets. And we think that there's room to go there, and that's what we'll be focusing on developing. Much of what I'm focusing on doing now over the next couple of months is meeting with our customers and to engage to understand where their unmet needs. And you're right, there are things that are services related. There could be things like, you know, shared power systems. There's a whole slew of potential opportunities that are out there. We need to do, I think, in a very disciplined way, is to make an inventory of what those opportunities are working with our customers and prioritizing them. And then making sure that there's good business to be done. Because I'm confident that there is business to be had, but I think it's, you know, specifics are probably a little bit early, at least in my tenure, to be able to share with you what those But know that this is a high priority for us. You know, we wanna really maximize the opportunity on our sites. And again, based on the earlier question that somebody had on my experiences, I've seen what the art of possible is. Of really providing great partnership with your customers. To be able to generate those incremental revenues.
Brendan Lynch: Great. Thank you. That's helpful.
Operator: The next question comes from Eric Klubchow with Wells Fargo. Please go ahead.
Eric Klubchow: I appreciate it. And Chris, great to connect over the phone. So I just wanted to check again on the cost efficiency program. I know it's in your pro forma AFFO guide you put for less next into next year, but you could talk about opportunities beyond what you've guided to. As we look at your margins relative to your two tower peers in the public market, is there any reason why can't get SG&A efficiency or gross margins to kind of similar levels? I know there's some structure and structural differences some of the sale leasebacks you have. But just wanted to get your perspective on how much runway you have on the cost side the next few years.
Sunit Patel: Yeah. So I think first as it pertains to the guidance we provided, you know, when that was provided at the announcement of the transaction, there were efficiencies factored in going from running three businesses to one business. I think we're just executing a little earlier on that. But if you look out over the next couple of years, two or three years, there are several things. There's the implementations of systems, process automation, all of that, I think, will yield benefit over the next several years. There's the opportunity for us to buy out ground leases as we talked about. I think that can help us. So, you know, we so we comparison to our peers. So I think we bought quite a few things over the next couple of years, but certainly the guidance that we provided for next year incorporated the sort of efficiencies you'd expect. Moving from running three businesses to one business.
Eric Klubchow: Gotcha. And I guess I know it's a little early for 2026 guide, but, you know, just wondering, you know, if you see anything kind of takes you off the expectation that you've talked about where you can grow kinda four to 5% organically pretty consistently even if we assume the EchoStar contribution continues to wane. Just based on everything they've announced, do you think that's still a reasonable assumption based on all the activity you have in your pipeline? And I guess related to that, is there any kind of mix shifting you're seeing between new colos and amendments as you look out into Q4 and into next year? Thank you.
Sunit Patel: Yeah. So on the last question, we're not seeing any big changes in the mix. Between those two items. And then again, we haven't really provided guidance for next year. So we'll come back and talk about it. There's obviously terrible things happening that we're excited about with our clients, but yeah, we'll when we get to reporting fourth quarter, we'll have a much better sense of where we are and cover that then.
Operator: The next question comes from Brandon Nispel with KeyBanc Capital Markets. Please go ahead.
Brandon Nispel: I think the efficiency one has been asked. Answered multiple times, so I'll refrain from that. I wanted to just maybe ask on the discretionary CapEx guide decrease this year. You know, why was that? And, really, why is the right number? I think Chris, you said a 150 to 250 million. So I guess, yeah, why decrease this year, and then why so much going forward? Thanks.
Sunit Patel: Yeah. I think some of that is timing when you look at those capital expenditures there. There are several buckets. There's, you know, whether you're buying out ground leases, whether they are tower modifications, different things. But again, as we said, that's just more timing and it's pushed out to next year. Nothing fundamental happening per se. But it's just a push out to next year.
Brandon Nispel: Timing?
Sunit Patel: Got it. Thank you.
Operator: This concludes our question and session as well as our conference. Thank you for attending today's presentation. You may now disconnect.